Operator: Good day, ladies and gentlemen, and welcome to this Griffon Corporation First Quarter Fiscal 2012 Financial Results Conference. As a reminder, that today's program is being recorded. At this time, I would like to hand the call over to Mr. Doug Wetmore. Please go ahead, sir. 
Douglas Wetmore: Thank you, Lisa. Good afternoon, everyone. With me on the call is Ron Kramer, our Chief Executive Officer. Before we get into the details of the call, there's a couple of matters that I want to bring to your attention. First, I'll mention again that our call today is being recorded and will be available for playback. Details regarding the playback are provided in our press release issued earlier today and are also available on our website. Second, during our call, we will make certain forward-looking statements about the company's performance.  Such forward-looking statements are subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed.
 For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary language contained in today's press release,  as well as the risk factors that we discuss in our various filings with the Securities and Exchange Commission.
 Finally, some of today's prepared remarks will adjust for those items that affect comparability between reporting periods. These items are laid out in our non-GAAP reconciliations, which are included in our press release.
 Thank you. And I'll now turn the call over to Ron. 
Ronald Kramer: Good afternoon. It's a good start to the year. Each of our operating segments achieved strong revenue growth this quarter with our consolidated revenue increasing 9%. This revenue growth drove our 5% improvement in segment adjusted EBITDA. Given the continued challenging macroeconomic backdrop, we are pleased by this growth both at the top line and at the EBITDA line. We see it as a validation of effective competitive positioning for each of our businesses and of the hard work that's been done to implement our overall strategy.
 Here are the consolidated financial highlights of this quarter.
 Our revenues grew to $451 million, an increase of 9% or nearly $37 million over the prior-year quarter. We had significant organic growth in both Plastics and Telephonics, where revenue increased 16% and 6%, respectively, over the prior-year quarter.
 Home and Building Products revenue also increased 6% with our doors business increasing 7%, driven by a combination of volume and favorable product mix. Ames True Temper revenue increased 5%, benefiting from the addition of the Southern Patio business that we acquired in October. Our consolidated segment adjusted EBITDA was nearly $42 million, increasing 5% over the prior-year quarterly EBITDA of $39.8 million. Our EBITDA growth was driven by a nearly 27% EBITDA increase at Telephonics, which continues to perform superbly. EBITDA generated by Home and Building Products improved modestly, increasing 1% over the 2011 quarter.
 As had been expected and as I have -- as we've discussed on the last 2 quarterly calls, Plastics' EBITDA declined in comparison to the prior-year quarter mostly as a result of the impact of scaling up production of newly installed assets in both Germany and Brazil. We've made substantial progress in returning Plastics to normalized operating levels and as discussed in past calls, we expect to have addressed the remaining scale up issues by the end of our second fiscal quarter.
 On an earnings per share basis, our results improved from a reported loss in the prior year of $0.03 per share to income of $0.04 per share in the current quarter. However, the current and prior year quarters were impacted by restructuring charges, acquisition-related costs, including accounting for inventory acquired in the Ames transaction, and discrete period tax items as applicable.
 Adjusting for those items, as we more fully analyzed in our press release, adjusted earnings per share were $0.07 this quarter compared to adjusted earnings per share of $0.11 in the comparable prior-year quarter.
 While these are good numbers, we are confident that our consolidated results will continue to improve as the economy recovers.
 Doug will talk more about the quarter in a few moments, but before doing so, I want to cover a couple of other matters. Over the next few quarters, we have meaningful revenue opportunities and some powerful scale and efficiency-related margin opportunities. Each of our businesses is well positioned, and to a certain extent, our growth is not dependent on an improvement in the economic environment. I'd like to go through each of our operating segments in further detail so that you can better understand why we are confident about delivering on our expectations for fiscal 2012 and in the years beyond.
 I'll start with Telephonics, which is arguably the most valuable of our businesses. Telephonics is performing well in the toughest events environment seen in decades. Fortunately, the intelligence, surveillance and reconnaissance category remains well-funded relative to the rest of the defense market. This is true for communications, intelligence, electronic intelligence and for radar systems, the things we excel at. There are 2 major sets of opportunities for Telephonics. The first is for continued growth in airborne ISR equipment. We should see benefit both from the continued upgrade and recapitalization of the existing platforms and growth from selected new platforms with secured funding, especially Northrop's Fire Scout unmanned helicopter program. We should start seeing revenue from this program late this fiscal year or early next year, and we expect that for Telephonics, total revenues over the life of the program will reach hundreds of millions of dollars. This is a unique and highly capable aircraft and we're excited to be part of this program.
 The second set of opportunities for Telephonics is within the commercial aerospace market. We are at the beginning of what looks to be a very strong up cycle that will last for quite some time. We believe that our weather and air traffic radar systems are well positioned to take advantage of this. As you are no doubt aware, strong ISR companies have proven to be very attractive assets in the M&A market, particularly over the last few years. We continue to believe that Telephonics is a very valuable business.
 Our backlog gives us confidence in the near term.  At the end of the first quarter, it was $380 million, as expected, down slightly versus year end due to the timing of some orders. Longer term, we're very confident that our continued investment in research and development will further extend our leadership position and we are excited for the continued development of a number of key category initiatives and product families. We remain very confident that Telephonics will become steadily larger and more deeply entrenched as a leader in its markets as time goes by.
 Turning to Plastics. This is where we believe we have the most opportunity for near-term improvement. In the first quarter, Plastics revenue increased 16% to $136 million, driven mainly by volume growth. Notwithstanding the strong increase in revenue, segment EBITDA for Plastics declined. For those of you who may be new to our story, I'd like to quickly recap the situation we're working through in Plastics here in the first half. Last year, we initiated the largest capacity expansion project ever undertaken in this business. We added about 20% total capacity to the global operations, which includes manufacturing assets in North America, Europe and Brazil. Significant expenditures remain in both Europe and Brazil in 2011 in order to meet demand from new business won.
 In scaling up production of this new capacity, we experienced manufacturing inefficiencies related to the new machines including higher-than-normal levels of scrap. As we discussed during our calls in the second half of last year, we're in the process of addressing these growing pains. We've made a lot of progress and we expect the process to be largely behind us by the end of the second quarter.
 Plastics has increased business with both new and existing customers, and we believe it is exceptionally well positioned to continue to grow and increase market share. The increased volume carries a good scale opportunity and we believe that over time, we can exceed our historical peak operating margins and run this business at an EBITDA margin rate exceeding 10%.
 As you may have seen a few weeks ago, we announced that Alan Koblin, a solid industry veteran and a strong leader, has joined us as President of the Plastics business. I'm confident that our team, which continues to include Gary Abyad in an important customer-facing role, is more than equal to the task of realizing substantial returns on the recent investment and capacity. This position us well for a much stronger consolidated second half and for the years to come. This brings us to our largest segment, Home and Building Products.
 The Home and Building Products segment had first quarter revenue of $210 million versus $198 million last year. Within that, Ames True Temper had revenue of $99 million versus $94 million last year, and Clopay Building Products had revenue of $112 million, up from $104 million last year.
 Segment adjusted EBITDA was $17.8 million versus $17.5 million last year. Weather continues to play a role in how Ames True Temper fairs with very limited snow so far this year, impacting sales of snow-related products. We cannot predict the weather, let alone control it, so we're focused on opportunities and challenges that we can address: innovation, customer service, broadening our product portfolio organically and through acquisition.
 Clopay Building Products is doing well in what continues to be a very difficult housing market. Revenue increased due to a combination of somewhat improved volumes and improved product mix. Margins are better, driven by the volume pickup and improved mix, as well as the successful restructuring of our manufacturing and distribution infrastructure completed last year.
 We've been really pleased by the progress we've made and as I've said before, while it may not happen soon, the secular improvement in the home building environment should result in strong sales, and because we are running at an inflection point, a good deal of margin improvement.
 As we execute this strategy and improve the operations for each one of our segments, we expect to generate significant cash flow. We'll utilize this in several ways to ensure we are providing value to our shareholders.
 Our first priority will clearly be funding our organic growth. However, our excess cash flow can be used for share buyback. As you know, we have an outstanding authorization of approximately $46 million, which at current trading levels represents approximately 4.5 million shares. We also initiated a quarterly dividend in November 2011. Our board approved the second quarterly dividend with a record date of February 28, payable March 27. We believe our businesses are well positioned and we continue to have excellent liquidity. We're confident that we can make investments for organic growth, pursue additional acquisitions and return direct value to our shareholders via quarterly dividend, as well as our previously announced share repurchase program.
 We remain committed to driving value to our shareholders through the full range of opportunities.
 Finally, we expect to continue to evaluate strategic acquisitions. We have the capacity, infrastructure and skill set to identify and complete transactions. Though we have a preference right now for tuck-in acquisitions for our existing businesses, we also continue to evaluate larger transactions that would further diversify our portfolio. While there's nothing imminent, we should be able to bolster our growth rate through the deployment of strategic capital for acquisitions. As we look out at the next few years, we believe that conservatively, even if the environment stays challenging and even worsens, that we can sustain an organic revenue growth rate of 5%, achieve EBITDA margins of 10% and generate compound earnings growth of better than 12%. This is strictly organic growth.
 I'd now like to ask Doug to take you through the quarter's financials in more detail and then we'll open it up to your questions. 
Douglas Wetmore: Thanks, Ron. Consolidated revenues in the quarter increased 9% to $451 million. Note that we've now anniversaried the Ames acquisition, and so with the exception of a small amount of revenue in Southern Patio, which had annual revenue of about $40 million last year, third quarter performance was driven by organic growth in each of the business segments.
 Each of our operating segments contributed to the revenue growth versus last year. Telephonics' strength derives from its technology leadership position in a variety of categories and from the continuing demand for intelligence, surveillance and reconnaissance equipment.
 Telephonics revenue grew 6% to $104.5 million. With broad-based strength in the business, revenue growth related to Ground Surveillance Radars systems was notably strong in the quarter. As has been the case for the last several quarters, revenue associated with the CREW 3.1 production impacts the reporting of growth of what we consider our core business. Remember, we're a contract manufacturer for the CREW product.
 Excluding sales associated with CREW 3.1 for both the current and the prior-year quarter, revenue growth in Telephonics core business grew 9% this quarter in comparison to the prior year.
 Segment adjusted EBITDA in the quarter was $15.7 million, a margin of 15% compared to the prior-year result of $12.4 million, and a margin of 12.6%.
 Margin at Telephonics improved as a function of product mix, with lower SG&A expenses in the quarter related to the timing of certain R&D initiatives.
 SG&A also reflected the benefit of the voluntary early retirement plan and other restructuring initiatives undertaken in the latter stages of last fiscal year by Telephonics.
 In that regard, Telephonics recognized an additional $1.5 million of restructuring and other related charges, primarily for onetime termination benefits and other personnel costs in the current quarter in conjunction to changes to its organizational structure.
 As Ron mentioned, Telephonics' backlog at the end of the first quarter was $380 million, down from $417 million reported at our year end. As we mentioned on our last earnings call, we expect order timing to limit backlog growth in the first half of this year, but we also expect much stronger order activity in the second half of 2012.
 Home and Building Products grew revenue by 6% to $210 million, an increase of more than $12 million, and both Ames and Clopay Doors contributed to this performance. For the quarter, Ames and Door revenue increased 5% and 7%, respectively. Ames' growth was driven mainly by Southern Patio, which was acquired in mid-October 2011. Excluding the benefit of Southern Patio, Ames True Temper revenue actually declined in comparison to the prior-year quarter. Door revenue increased mainly due to a combination of favorable mix and higher volume. Overall, Home and Building Products EBITDA increased modestly, 1% from the prior-year quarter. The inclusion of Southern Patio's operating profit in the current period's results as well as improved production efficiencies were the main drivers of the increase, partially offset by somewhat higher material and fuel costs at both Ames and Doors.
 Plastics revenue grew 16% to $136 million as we continue to reap the benefits of strong product development initiatives in our new manufacturing capacity. Volume was the main driver, accounting for nearly the entire increase. Resin and foreign exchange were both nominal in terms of impact on the quarter's revenue growth.
 The quarter ended 12/31/2011, Plastics EBITDA decreased to $1.6 million compared to the prior-year quarter. As we discussed in the second half of last year, both Germany and Brazil experienced the higher incidences, startup costs related to expanding capacity and such higher costs, included higher-than-normal levels of scrap. Improvements on operations in the newly expanded locations continue, and we haven't changed our view that scaling up challenges will continue to impact profitability for the first half of this year. We will continue to update you on these calls as progress is made.
 Consolidated gross profit in the first quarter was $103 million, a margin of 22.8% versus the prior year rate of 21.2%. Year-over-year margin improvement reflected the absence of the prior year $11 million acquisition-related inventory writeup charges, the better margins in Telephonics and Door businesses, offset by somewhat lower margins in Ames, excluding the inventory accounting item, and in Plastics.
 Consolidated selling, general and administrative expenses excluding restructuring charges were $83 million in the quarter or 18.4% of revenue compared to $80.4 million or 19.4% of revenue last year. The increase in operating expenses in absolute value results primarily from the inclusion of Southern Patio from its acquisition date. And overall, we continue to exercise very tight cost control across our businesses and are pleased with the overall trend of SG&A expenses as a percentage of consolidated revenue.
 Earnings per share in the quarter were $0.04 versus a loss of $0.03 per share in the year ago period. As Ron mentioned, there were a number of factors that impacted reporting in both years, including restructuring charges, acquisition costs, the acquisition accounting for inventory at Ames and prior-year discrete period tax benefits. Excluding those items from both periods, we had earnings per share of $0.07 in the current quarter compared to $0.11 per share in the prior year.
 The reconciliation table going from GAAP to these adjusted items is in our press release, as I mentioned before.
 Regarding our tax rate, as I discussed last quarter, the mix of our earnings on a geographic basis can move our rate around. While the rate is somewhat elevated in the first quarter because of this, we expect our overall fiscal 2012 rate at this time to approximate 45%.
 Capital spending in the first quarter was just under $20 million. We continue to expect full-year 2012 cap spending in the range of $65 million to $70 million. Depreciation in the quarter was about $14 million, and we remain comfortable with full-year depreciation forecast of about $63 million as I've noted on our last call. That increase in depreciation arises as the capital investments are brought on line.
 Amortization expense in the quarter was about $2 million and is expected to be about $8 million for fiscal 2012 in total. Our balance sheet at the end of the first quarter had $177 million in cash and total debt outstanding of $707 million, resulting in a net debt position of $530 million.
 The cash balance at the end of the quarter was somewhat lower than we had expected mainly because we saw a significant volume of cash receipts in the first week of the new calendar year. Now that cash had, for the most part, been expected prior to the holidays, but I think the way the Christmas Holidays fell impacted the timing of receipts.
 Initially, about $180 million of our $200 million revolving line of credit is available for borrowing. Letters of Credit that we've issued account for the utilized portion. There's no actual drawings under the line of credit.
 For the full-year 2012, we continue to expect consolidated revenues would be in the range of $1.9 billion to $2 billion, Home and Building Products revenue up in the low single digits, Telephonics at low to mid single digit rate of growth and Plastics at a high single digit rate of growth. Now as I mentioned in the past, in the case of Plastics, revenue will fluctuate depending on resin prices and foreign currency exchange rates.
 At this time, we also continue to expect segment adjusted EBITDA to be in the range of $180 million to $190 million compared to the $166 million reported for 2011.
 Corporate and other expenses are expected to increase somewhat from reduced levels in 2011 and be pretty much in line with actual results reported for fiscal 2010 or about $26 million. Corporate expense includes all equity compensation for the company, which is a noncash expense, and that would be about $9 million for the full-year 2012.
 With that, I'll turn the call back over to Ron. 
Ronald Kramer: Before we go to the questions, I'd just like to say that I think we're very well positioned for an uncertain economy. We've factored this into our planning and still see good growth opportunities even in a sluggish recovery.
 As the global economy expands, we expect to see profitability expand meaningfully. All of our businesses are growing and we believe they will outperform their competition. We have ample resources to invest in these businesses, to support their growth and are excited about their prospects.
 We've not only built a strong business here, but we have some talented new management in each of our businesses to take us forward and to continue to create value for our shareholders.
 Thank you. And with that, why don't we open it up for questions? 
Operator: [Operator Instructions]
 We'll go first to Stuart Gillespie, Stephens, Inc. 
Unknown Analyst: I think, Ron, you said earlier that it continues to be a difficult housing market. Are you all seeing any signs of recovery? 
Ronald Kramer: The answer is things are not getting worse so therefore, they feel like they're getting better. And I think we have a very good view of what's happening, and we've been saying consistently, when the talk of a double dip last August was talked, and that there had been sequential improvement in both volume and activity, but it's not because there's a broader tailwind of new housing starts and development. There's been absorption and part of it is we think that our Clopay business has managed itself extraordinarily well through the downturn and has been able to not just maintain market share, but to take market share in a slow, painful recovery that is going to continue. And we think our business is positioned for the housing market to slowly recover if things get better faster. We have plenty of capacity and we'll be a big beneficiary of it, but we've been seeing steady improvement in our business really going back and starting last August. 
Unknown Analyst: Okay. And so in terms of the mix, is it still around 70% renovations to 30% new homes? 
Ronald Kramer: Yes. 
Unknown Analyst: And do you all have any sort of plan on where you'd like that to be long term? 
Ronald Kramer: We'd love to see the new home market come back to anything approaching its historical 1 million annual unit. We're so far from that today that -- let's get sequential improvement year-over-year, and the repair and remodel market will continue to improve as the absorption of the oversupply and as the foreclosed markets find their way into ownership hands. People are going to be putting money into improvements. Garage Door is an important part of that value equation. We think we deliver a superior product at better-than-competitive price. So I'd like to see both the home -- new home market, as a percentage, increase and I'd also like to see just the sheer volume. But from a $400 million top line, while we're profitable here, we think there's a tremendous amount of operating leverage in this business for an increase in top line whether that's repair and remodel or new home. And in a recovering housing market, we should see both improve. 
Unknown Analyst: Okay. And then moving on to ATT, I know that you all said that there hadn't been a lot of snow and that's likely to impact the business, but are there any potential benefits of an early spring? 
Douglas Wetmore: Yes, there is certainly. Because of people working in their yards, sooner and so forth, we get the benefit. I think that one thing you've got to kind of keep our fingers crossed on is that you don't get a late season downfall of snow that impacts the early lawn and garden season. But as Ron mentioned in his comments, we worry about the things that we can worry about and control, and you manage through the weather as best you can. 
Ronald Kramer: Yes. And I'd just add to that, that spring is by comparison, a much more important quarter for us in Ames than the winter. And these are the things that are always going to be unpredictable. If you remember, October started out great. There was snow in the Northeast and we benefited from it. Over the period, by December, there was no snow. And in spite of the variations in weather, we've had a quarter that tracked the prior year's quarter, which had a tremendous amount of snow. So this business, we're in it for the long term. We think that it's got brands and it's got a platform of opportunities, and there's going to be years where we get the benefit of the weather and there are going to be years where it's going to go against us. What we like is our positioning of market share, our relationship with our customers and our ability to continue to grow the business into an economic recovery. 
Unknown Analyst: Okay, that makes sense. And then one final question for you. I'm not sure if you guys do this, but can you break down the revenues from Southern Patio for the last quarter? 
Douglas Wetmore: They were roughly $8 million in the quarter. Overall, they have much of the same seasonality that the Ames True Temper business has. And as I mentioned in my comments, for the last year -- and they were on the same September 30 fiscal year as we are. They had just about $40 million of revenue for the full year. 
Operator: [Operator Instructions] Our next question will come from Philip Volpicelli, Deutsche Bank. 
Philip Volpicelli: My question is with regard to the Plastics business. Clearly, you guys are hopefully making some headway there with the Brazilian and German operations. Are there any metrics that you can point out to us or is there any qualitative information you can give us to give us more confidence that this will be behind you by the end of the second quarter? 
Douglas Wetmore: As we've said, we're very closely monitoring it and it's -- they are really right on plan in terms of achieving the efficiencies that they anticipated in getting to that full operating profit level by the end of the second quarter. I'd probably say that Germany, Europe is probably a little bit further along than Latin America, and I think some of that has to do with, we mentioned this on the last call, that with the fact that the Brazilian market slowed down a little bit in the last 6 months of last year, that was pretty well-documented in the financial press and so forth. So in terms of our evaluating how far they've progressed in achieving the operational efficiencies, I think it's safe to say that they haven't really been stressed as much as we expect they might need to be when the Brazilian market rebounds a little bit. So that's the only caveat that I have, Phil. And other than the one that Plastics is our most international business and obviously, foreign currency and resin pricing can significantly impact the Plastics reported results. 
Philip Volpicelli: And then with regard to Telephonics, Leon Panetta put out his budget and it calls for a 30% increase in the fleet of U.S. unmanned aerial aircraft. If that were to come true, how soon do you think that, that would benefit you guys and would it benefit you guys if they are building more of the unmanned aerial aircraft? 
Ronald Kramer: Well, there's no surprise that we are absolutely a beneficiary of that direction. And Fire Scout is the first of what we hope to be many programs that our communications, surveillance, radar systems become a part of. The direct answer to your question is that we've said that Fire Scout won't impact us until the end of this fiscal year and won't ramp up until 2013 and beyond. But that in and of itself is part of our confidence in the organic growth story within Telephonics. Additional programs, international sales of those programs and the ability to be part of new programs are all opportunities for us. So while we're completely realistic about how difficult the funding environment for defense is going to be, the piece of the business that we're in is a more likely growth part in terms of its requirements, that the big cuts are coming out of procurement and coming out of personnel.
 We continue to think that the ISR part of the market that we compete in, that we're very well positioned. 
Douglas Wetmore: And as we've said in the past, that our technological capabilities for small-sized weight and power consumption, as well as the performance of the radar unit itself is ideally suited for UAV application. 
Philip Volpicelli: Okay. Are you guys on the Predator or is that another program that somebody else is on? 
Douglas Wetmore: The radar unit is not under Predator. There are some communication, ground to air, on some of the UAVs. I couldn't tell you if it was the Predator, but we are on other UAV platforms. 
Ronald Kramer: But our expertise is helicopter-based programs. 
Philip Volpicelli: Got you, okay. And then just last for me. Clearly, you guys have cash on the balance sheet and liquidity available to you. Have you been looking at any acquisitions or is there anything out there that is imminent, anything you'd want to give us guidance towards? 
Ronald Kramer: Look, we're always look [indiscernible]. We think that managing in this uncertain [indiscernible] that we get our Plastics [indiscernible] quarters. The Home and Building Products, while improving, it's a long way from reaching the levels of profitability that we'd like to see it at. Of course, if we can continue to do tuck-ins, like Southern Patio, which are very attractive in terms of it being accretive and strategic, we're going to do that, but there's no big transformational acquisition that's on our horizon. And not that we're not looking for it, but it's just not the environment that we see lots of very attractive, well-priced high-growth assets. 
Operator: We'll take our next question today from Zahid Siddique, Gabelli & Company. 
Zahid Siddique: A couple of questions. Any updates on the Mahindra joint venture? 
Ronald Kramer: Yes. We continue to work through our memorandum of understanding and we expect to be able to formalize it over the coming months. But it's still moving ahead and we're quite excited about the opportunity that it presents to us and being able to do business in the Indian market and to be able to do business with one of the finest companies in that market. So we're very excited about those prospects. And those would all be additive to the Telephonics growth plan. 
Zahid Siddique: Okay. And would you be able to quantify the operating income for the Garage Door business? 
Douglas Wetmore: Zahid, when we made the acquisition with Ames True Temper, we said that we would no longer comment on the individual operating profit of the businesses that comprise Home and Building Products. I'd like to hold to that. 
Zahid Siddique: Okay. But I assume it was profitable. At least you can confirm that. 
Ronald Kramer: Oh yes, it was profitable. 
Douglas Wetmore: Yes. 
Ronald Kramer: It is, just to confirm, it has been profitable through this entire down cycle and its profitability has been improving. We expect it to continue to improve as volumes increase. 
Douglas Wetmore: Yes. Remember, the first and second quarters of this fiscal year, we'll continue to be anniversaring the plant consolidation savings, which we began to realize in the third and fourth quarters of last year. So hence, more profitability improvement. 
Zahid Siddique: Okay. And then you are guiding to the adjusted EBITDA of $180 million to $190 million? 
Douglas Wetmore: Yes. 
Zahid Siddique: And I believe in Q1, right in Q1, you did about $41 million, $42 million. So you are comfortable or are you comfortable with the ramping up in the next 3 quarters? 
Douglas Wetmore: Well, just to be -- quite frankly, we wouldn't have affirmed the guidance if we weren't comfortable with it. And remember, our first fiscal quarter is our smallest quarter of the year. 
Ronald Kramer: Yes. This is our seasonally weakest quarter and we're ahead of where we were last year. And the short answer to your question is yes. 
Zahid Siddique: Okay. And last question I have is on the resin prices. Could you throw some light on what's going on in terms of prices? 
Douglas Wetmore: Well, it's -- they're down a little bit particularly in the United States from the peak of the last, let's say 18 months. And I think that's probably driven by the overall decline in natural gas, which is the feedstock, but they're still pretty far above the bottom, which was in December of 2008. And I don't think you've seen as sharp of a decline in Europe because a lot of their resin there is manufactured from NAFA [ph] and that's not quite seen the decline that you've seen in natural gas. So kind of a mixed bag, probably downward pressure, but I don't anticipate seeing a precipitous decline in the overall cost of resin. 
Operator: And gentlemen, at this time, there are no further questions. I'd like to turn the conference back over to you for any additional or closing remarks. 
Ronald Kramer: Thank you very much. We'll speak to you after our next quarter. 
Operator: And ladies and gentlemen, that does conclude today's conference. We would like to thank you all for your participation.